Operator: Greetings and welcome to View, Inc.’s First Quarter 2021 Financial Results Conference Call. At this time all participants are in listen-only mode. A question-and-answer session will follow the formal presentation. [Operator instructions] Please note, this conference is being recorded.  I will now turn the conference over to our host Samuel Meehan, Head of Investor Relations at View, Inc. Thank you. You may begin.
Samuel Meehan: Good afternoon everyone, and welcome to View’s first quarter 2021 conference call. I am Samuel Meehan, Head of Investor Relations at View. And I’m here with Dr. Rao Mulpuri, our Chairman and CEO; and the Vidul Prakash, our CFO. On the call this afternoon, Rao will provide a brief introduction to the Company and an update on our products, our customers and our operations. Afterwards, Vidul will provide a detailed review of Q1 financial results and our outlook. Before we begin, I would like to remind you that shortly after the close of the market today, View issued a press release announcing its first quarter financial results. You may access this press release in the Investor Relations sections of view.com. As today’s discussion includes forward-looking statements, please refer to our press release for a discussion of factors that could cause the Company’s actual performance to differ materially from those forward-looking statements. I would also like to remind you that during the call, we will discuss certain non-GAAP measures related to View’s performance. You can find the reconciliation of those measures to the nearest comparable GAAP measures in the press release. Rao, over to you.
Dr. Rao Mulpuri: Thank you, Samuel, and a warm welcome to all of you joining us for View’s first earnings call as a public company. We had a strong first quarter, and Vidul will cover details of our financial results. Given this is our first call, I’d like to start by providing context about a few important areas for all of you to get to know us better. I will summarize my remarks in a few distinct sections. First, I want to give you a sense of who we are and why we’re building View; second, the big opportunity and our technologies; third, our products; fourth, the market and our customers; and fifth and finally, our operations. So, in the first section, who are we and why are we here? I was inspired to start this journey over 12-years ago with the mission to solve two of the biggest challenges and opportunities of our time, climate change and human health. Those of us on the initial team at View came from the semiconductor industry. Now, on our technology team, we have material scientists, display experts, device engineers, software, AI and ML experts. As a result, we’ve been able to build from the ground up an end-to-end full stack product from atoms to bits. We are fortunate to have people with such diverse backgrounds. And what unites us is our mission and our culture. We are passionate about creating a positive impact. We’re obsessive about our customers. We’re hungry to learn, and we’re driven to excellence. From an engineering point of view, we like to simplify things down to first principles, and we believe in the power of iteration, rather than just the power of brilliance. Now, in the second section, I’d like to talk about the big opportunity of our technologies. When we look at real estate, the largest asset class in the world, it has had the least amount of change in innovation, and we see four massive opportunities, multi-decade trends really: First, the issue of climate change and the need to build more efficiency. Second, most of the real estate industry has had significant gaps between the user on the buyer, and the opportunity to bring focus to the user experience, as we witnessed in so many industries. Third, human health. Much like we learned that the quality of food we consume has a profound impact on our health, we are learning that the quality of space we consume is a significant determinant of our health outcomes. This is the unique opportunity to reprint value creation in a massive industry, and the pandemic is actually helping accelerate people’s awareness around this issue. And finally, the fourth trend, the infusion of technology. Today, we are tech-enabled in all walks of life, except real estate has lagged in tech. And we have a significant opportunity to infuse technology into the fabric of buildings and drive beneficial uses for people and business, just as we have seen in phones and automobiles and other industries. At View, we are serving these needs and opportunities by building four enabling technologies. First, material science. Advances in material science and especially nanomaterials have created revolutionary changes in many industries, yet the buildings industry has seen little change. For example, at View, we add 1 micrometer, which is 100th the thickness of human hair to the skin of a building and fundamentally change the thermodynamics of the entire building. Second, high-performance, low-cost devices. Semiconductors by way of sensors, computing and storage. Third, ubiquitous connectivity, both wireless technologies, such as 5G but also wired connectivity by way of fiber and high-speed cable. And fourth and finally, artificial intelligence. As you know, every industry is poised to be disrupted by AI, and real estate will be no exception. Over the last 12 years, we’ve been carefully assembling the building blocks in these technologies. We are at very early stages of value-creation in this vast industry, and we already have over a 1,000 patents issued and applied. Now, in the third section, let’s talk about our products. Our base product is the humble day-to-day window. As a material scientist, I find glass to be a magical material and that it is a wall you can see through. And as humans, we are lucky to have discovered this material. But, traditional windows have two fundamental flaws. First, traditional windows do not dynamically control solar heat entering the building. This problem requires tremendous amount of energy to pump cooler air through a building, as a result buildings represent 40% of all of the energy use. Second, traditional windows use blinds and shades to control glare. Nobody likes blinds and shades, and for good reason. Blinds are unsightly and make spaces unhealthy by cutting off people’s access to natural light and views of the outside. View’s smart windows dynamically tend to control a building’s energy use, while optimizing for natural light and views of the outside. We reduce HVAC and lighting by 20%, lighting energy. And importantly, we also reduce peak load requirements and increase usable space by up to 10%. Thus, smart windows have the potential to drastically reduce carbon emissions as the world strives towards net zero goals. Regarding health. View’s smart windows create healthier and more productive spaces by optimizing people’s access to natural light and providing views of the outside. We are investing heavily in understanding the human biology, physiology, biochemistry and psychology, and how they are impacted by the quality of space we consume. Recent research has shown that headaches and eyestrain go down by more than 50%. Occupants with View’s smart windows sleep over 30 minutes longer at night, and most striking, improve their cognitive function by over 40%. These are big numbers. And these benefits are the reasons our customers are delighted to use View Smart Windows. Electrochromic glass technology has been around for 60 years, and we were the first to build a complete product. A bluish tint has historically held back electrochromic glass for mainstream adoption. We achieved a breakthrough with our Gen 4 products that eliminated the objectionable blue tint, resulting in a more neutral gray color. Our Gen 4 product went into commercialization in 2020 and will represent the majority of our shipments this year. Customer response to Gen 4 has been terrific, and we believe this is a key driver for accelerated adoption this year and beyond. At the end of last year, we announced also several new exciting products, including View Net, which is our intelligent building network platform that consists of power, data and communication infrastructure. View Sense, which is our environmental sensors that enable healthy environments by monitoring air quality, humidity, dust, and noise among other things. View Immersive Experience, a transparent high-definition interactive display. We are very excited about the new opportunities these products open up in the intelligent building space. When it comes to smart building systems, cost of installation is often much higher than the cost of products. It’s important to note that our network infrastructure is installed very early in the building construction process, giving us the first wired advantage to provide additional products and services on our smart building platform. Now, in the fourth section, let me talk about the market and our customer activity. When you transform an everyday product, like a phone, a car, or in our case, a window, you have the opportunity to unlock a massive industry. Real estate is the largest asset class in the world, and smart windows represent over $1 trillion annual total addressable market. Today, smart windows represent less than 0.1% market penetration, and we believe the rate of adoption will be the dominant driver of our growth for the foreseeable future. View is the leader in installed base of smart windows across the U.S. with geographic breadth from New York to Hawaii and Florida to Alaska. The benefits of smart windows apply to every human-centric building. And we have installations in every vertical, including offices, airports, hospitals, higher education and multifamily residential. Eventually, every window can and should be a smart window. Now, turning to notable wins and installations in the first quarter. We had a terrific quarter with key customer wins. In airports, Dallas-Fort Worth International Airport is strong repeat customer for our base product, began installing new smart windows for their Terminal D expansion project, including DFW’s Gate of the Future. This installation will be the first in an airport to deploy View Net, View Sense and View Immersive Experiences. We’re also excited to announce our first win with Chicago O’Hare International Airport. As part of the Terminal 5 expansion and modernization project, we’ll be shipping View Smart Windows this year.  In the office space, Google’s New York Headquarters, the St. John’s Terminal topped off with View Smart Windows recently. This is a 1.3 million-square-foot commercial office building by Oxford Properties. We’re proud to say, View Smart Windows now unlock the longest unobstructed view of the Hudson River in New York City. Uber’s new regional headquarters in Dallas, Texas, started shipping in the first quarter as well. This is a 470,000-square-foot office building, developed by Westdale Asset Management, and is expected to house about 3,000 employees behind View Smart Windows. We were also very pleased to announce, we were selected as a smart design feature for more than 30 additional buildings in Lake Nona, a 17 square mile visionary community developed by the Tavistock Development Company. This is an example of a forward thinking customer taking View Smart Windows fleet wide. One of the bright spots in real estate and in the office sector has been the life sciences sector. In life sciences, we shipped View Smart Windows to Trammell Crow’s Fulton Labs, a 400,000-square-foot office and lab space in Chicago. This is the second lab space to use View Smart Windows as part of the Fulton Market District Redevelopment in Chicago. Also in life sciences, View Smart Windows was selected from 3.0 University Place, a 250,000-square-foot commercial lab space in Philadelphia’s innovation corridor. Over the last year, we’ve seen an increase in renovation activity as well. A great example of large scale renovation is the completion of 730 Third Avenue, a 665,000-square-foot office tower, near Grand Central Station in New York. This building serves as the headquarters of TIAA and Nuveen and completed just in time for their return to office later this year. Finally, we announced recently that View has been selected for Walmart’s Bentonville campus. This is a massive corporate campus project, representing a $26 million contract for us that we’ll start shipping this year. View Smart Windows will be in 12 office buildings across more than 2.4 million square feet of office space in Walmart’s 350 acre headquarter campus. Now, and finally in the fifth section, I’ll talk about our operations. View is the first company to achieve large scale commercialization in the industry. We are proud to say that we have over 1 million square feet of manufacturing [Technical Difficulty] Mississippi with over $400 million of capital invested. Encouraged by the strong growth and positive demand from our customers, we are investing in our production capabilities and started to ramp to 24x7 operation in the first quarter. We’re also investing in our customer-facing functions in sales and customer support, and in the systems needed to scale our business and serve our customers in a fast-growing business. In summary, we’re excited to start our journey as a public company with strong positive indicators from customers and accelerated growth through the full year of 2021. We are already capturing revenue from our new products and see endless opportunities in the intelligent building space for these types of applications. We’re confident in our plan for significant growth this year and for the foreseeable future. With that, I will turn the call over to Vidul for a detailed review of our financial performance in the quarter and an outlook for 2021.
Vidul Prakash: Thank you, Rao, and good afternoon everyone. I’m Vidul Prakash and will cover our financial results of our first quarter. In my comments, I will refer to GAAP and non-GAAP results. Our non-GAAP numbers do not include stock-based compensation and other one-time items. For more details on our quarterly results, including the reconciliation of our GAAP and non-GAAP financials, please refer to the earnings press release on our Investor Relations website. In Q1 ‘21, View went public and is now trading on the NASDAQ under the ticker VIEW. In the process of going public, we raised $815 million of gross proceeds. We used a portion of the proceeds to pay off existing debt and delivered a debt-free balance sheet with the exception of a $15 million interest free loan facility from the state of Mississippi where our factory is located. Importantly, we ended the quarter with $506 million of cash on our balance sheet and are well-capitalized to drive growth for the business, achieve our profitability milestones, both gross margin positive and EBITDA positive, and ultimately transform an industry. Now, to our Q1 results. Q1 ‘21 was a strong quarter for the Company with sales of $11.8 million, representing 29% year-over-year growth and 52% sequential growth. This growth was driven by an increase in volumes with strong pricing, increase market adoption of our product, and release of our new products that are now generating revenue. Non-GAAP cost of revenue or COGS was $28.9 million in the quarter and represented a $6.1 million or 17% improvement from the prior year. This was driven by better manufacturing metrics including yield, a reduction in cost of materials and lower labor costs. It is important to note, our Gen 4 product has better yield and throughput than previous product generations. And we expect to continue to benefit from improving factory metrics through 2021. Sequentially, non-GAAP COGS declined by $1.8 million or a 6% improvement, driven by continued factory performance and lower customer support costs, offset by hiring the factory as we ramp back up to 24/7 operations. In the fourth quarter, we managed operating expenses to $37.1 million. Excluding stock-based compensation, OpEx was $26.7 million, delivering a 25% year-over-year and 4% quarter-over-quarter improvement. Non-GAAP R&D expense in Q1 was $14.7 million, a 20% decrease year-over-year and a 21% decrease quarter-over-quarter. We managed costs in the quarter by lower line time utilization in the factory and lower software costs. Looking ahead, we expect R&D expense to increase throughout the year. As a technology company, we continue to invest in R&D and added headcount during the quarter in both, our base product and our new product development teams. Non-GAAP SG&A expenses were $12.1 million, an improvement of 29% year-over-year, as we manage headcount, travel and other expenses. Our non-GAAP SG&A expenses grew 29% sequentially in the quarter due to higher accounting and legal fees incurred for our IPO. Non-GAAP loss from operations in Q1 ‘21 $43.9 million, a $17.4 million improvement from the loss of $61.3 million a year prior, driven by high revenues, the improvement in our cost of revenue and improvement in OpEx. We reduced non-GAAP loss from operations by $7.1 million, sequentially. Interest expense in the quarter was $5.3 million or flat when compared to the previous year. As I mentioned, previously, we retired our revolving debt facility this quarter and will not have material interest expense going forward with the current capital structure of the Company. Non-GAAP net loss in Q1 ‘21 was $50.6 million, a significant improvement from $66.1 million loss in Q1 of ‘20 and $58.4 million loss in Q4 of ‘20. Adjusted EBITDA loss of $37.8 million improved by $17.3 million or 31% compared to a year prior and improved $4.5 million or 11% sequentially. Current share count for the Company is 217 million shares. Please to our S-1 filing on April 7th for a further breakdown of share count. Now, turning to the rest of 2021. Given the strong results in Q1 and increasing market adoption of our product, we are confident in our outlook for 2021 and expect to achieve our annual financial plan of $70 million to $80 million in revenue with a midpoint of $75 million. As Rao mentioned earlier, we are ramping our operations in response to anticipated sequential growth throughout the year. We will continue to improve our factory metrics, as we scale and drive lower cost of increased volumes throughout the year. We will maintain our cost discipline and decrease our COGS as we scale our top-line. Our cost reduction roadmap focuses on three components of COGS: fixed cost of a factory, comprising of labor, depreciation and overhead expenses; variable cost of our base product, including factory materials for producing an IGU and control systems and electronics; cost of our new products, which are entirely variable, given we procure or outsource and manufacturing. As demonstrated by our cost reduction trajectory in our year-over-year and quarter-over-quarter results, we are on track to improving our gross margin profile with efficiencies in all three cost components. These are efficiencies are driven by better absorption of fixed costs over larger volumes, automation, lower uses of raw materials with improved factory metrics, purchase price reductions and improvements in material design specifications. Beyond 2021, we expect to achieve gross margin positive out at a quarterly run rate of $40 million to $50 million or $200 million on an annualized basis. To-date, we have invested $410 million in CapEx, primarily in our factory. We currently operate one production line at our factory. Second plasma system has already been purchased and installed, which was the longest lead time item. We plan to invest in additional capital equipment in 2021 to make the second plasma system ready for operations. We will continue to build the infrastructure required to support the growth opportunities ahead, including investing in R&D and our next generation products, as well as adding to our sales and marketing efforts. In summary, we are maintaining the momentum in our revenue growth, reducing costs, investing in R&D, investing in marketing and sales and investing in capital equipment to scale our operations. With that, I’ll turn the call back to Samuel.
Samuel Meehan: Thank you, Vidul. We will begin the Q&A portion of today’s call with some consistent questions we’ve heard from investors. For reference, you can submit questions by emailing View Investor Relations at ir@view.com.  Rao, I’ll start with you. Commercial real estate has been challenged with the impact of COVID-19. What are you seeing in the marketplace today? And how is this impacting View’s business?
Dr. Rao Mulpuri: Yes. As you’ve just heard from Vidul, we’re forecasting in 2021 more than doubling of our business from 2020. And then our own journey is more aided by adoption in a massive industry than the macro factors of that massive industry. Having said that, we’re seeing plenty of new buildings and renovations happening throughout the pandemic. One of the bright spots in the office sector has been the area of life sciences. So, biotech and pharma companies continue to add capacity and for good reason. We see healthcare continuing to be a resilient sector. So, hospitals and medical office buildings, that industry is continuing to transform and they’re building better and better facilities to serve patients better. We see corporate campuses being built, like we saw with Walmart and others, and corporations committing to net zero goals at very aggressive pace. We see potential for massive infrastructure spend coming up in the stimulus and creating jobs in the United States and around the world. So, there’s plenty of sectors that continue to be bright spots. Specific to the office sector, which is something everybody thinks about when they think about real estate, while, people might spend less time in the office going forward, meaning maybe more time at home than at work, clearly the density that the office sector experienced, density gains in the last 30 years, will reverse, initially with very low density. But, there is a belief that it will unlike -- it will be unlikely to get back to the pre-pandemic levels of very high density office spaces with people elbow to elbow. So, we’re here to support our customers. Our customers are figuring out their plans for reentry. We are quite busy helping commission buildings and get them back to work. But beyond that, the type of office, the type of work done at office will be different. I think, the two things the pandemic -- in a post-pandemic world will be different is, people will go to the office, more for collaboration, more for culture, more for onboarding. There will be some mix of video and in-person happening in the office. So, the way offices are built, will need to adjust and evolve relative to that. And that bodes very well for our products, and especially our new products. With respect to health, there’s actually a much greater awareness of people, and how the space they consume impacts their health, and specifically to do with the quality of air they breathe. But once you initiate that conversation, there is a conversation happening between an employee and their employer about the quality of space they’re consuming as it instructs their health. I think that is a great conversation and that bodes very well for us. Finally, multifamily and residential in general has been a very strong sector throughout the pandemic. And, secondary cities are continuing to grow. And the movement of the churn is great for the industry as well. So again, coming back to the beginning of what I said, the macro has a lot of dynamic factors happening that bode well for change, but we’re focused heavily on adoption, where we want to move away from the old windows that are consuming a lot of energy that are not serving people well. And we want to create a more tech enabled, sustainable and human centric set of buildings. And we’re very excited about that.
Samuel Meehan: Great. We’ve received a lot of questions on the new products. Rao, can you provide some more details about the new products and the customer reception so far?
Dr. Rao Mulpuri: Yes. So, as we discussed, new products can be really categorized into three areas. One, our network, which we call View Net, it’s a 21st century digital network that is highly secure. It runs on the big cloud platforms of the big cloud providers. It has access to all of the ML and AI engines that are available on those networks. But importantly, it has power and connectivity on which a number of additional applications and third-party systems can sit. So, we’ve been very thoughtful about building this for the last several years. And we’re seeing that pay-off and we’re quite excited about that.  View Sense, which is a very unique environmental sensor that will provide insights around space and around health for humans. That’s gaining a lot of interest, and we’re doing incredible work with our customers in that area. And then, the View Immersive Experiences, which is a high-definition display that’s installed right into the window. As you know, we just deployed all three into the extension of Terminal D at DFW. That area really went through a soft opening this week and will be open full sometime shortly here. We’re very, very excited about unveiling these products, having them work in real world environments, and look forward to growing in these -- from this year going forward.
Samuel Meehan: And Vidul, a question for you. This is a business that requires upfront capital investment. Can you detail View’s cost reduction roadmap and the impact ramping volumes have on COGS?
Vidul Prakash: Sure, Samuel. We expect to follow a steep path to cost reduction that is not too different from what other process manufacturing industries have already done. Solar and flat panel displays would be an example. As I mentioned before, there’s a fixed component to a cost and a variable component which also includes new products. To provide more context last year, fixed costs represented over 75% of our COGS, and we had no mix of new products in it. Our competitive moat is our process technology, and that requires upfront investment and fixed costs to put capacity in place. This is equipment, labor and factory overhead. For every step function increase in capacity, fixed costs only go up incrementally at the margin, additional depreciation for incremental CapEx or additional headcount, but the overhead is almost the same. We get good economies of scale and believe, at full capacity, fixed costs in the factory will be closer to 50% of the total mix. Under the new products, all being variable, fixed costs will be less than 50% of total Company COGS in the long-term. Now, there are a few key levers to drive down variable costs as well in process manufacturing. First, improved factor yield means less scrappage. Less scrappage means we are reducing materials costs. Second, as we drive industry adoption of a product, we are getting bigger and bigger buildings. Bigger buildings typically mean larger window sizes and more standard sizes as a percentage of a given order. This has positive implications for our carrier utilization, and factory throughput what metrics. There are purchasing efficiencies as well that come in larger volumes. Our procurement team is actively managing to get lower costs for factory raw materials and control systems and electronics. And finally, our engineering team is focused on material design specifications, both for factory raw materials and control systems and electronics and new products. These design changes will also yield significant reductions in materials cost. This gives us confidence towards our target gross margins of about 50%.
Samuel Meehan: Thank you, Vidul. We will now open the call to questions. Operator, we’d be happy to take any questions if there may be.
Operator: Thank you. And at this time, we’ll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Mark Delaney with Goldman Sachs.
Mark Delaney: Yes. Good afternoon. Thanks very much for taking the questions. I was hoping to start with the announcement of the win at Walmart. Maybe you could talk about what enabled the Company to get that win with the company and with that sort of the size of the program? And really there’s only so much detail you’re going to be able to share for an individual customer. But, any sort of changes that we may need to think about in terms of revenue or margins relative to your prior forecast as we think about that program?
Dr. Rao Mulpuri: Yes, Mark. So, clearly, workplace is an important segment of our customer base. As you know, we’ve disclosed throughout the years by press releases and on our website, you’ll see a number of our existing customers. We do have significant repeat business from them. With respect to Walmart, they’re building a new campus in Bentonville. They’re definitely moving into the 21st century as a firm that’s been around for a long time and a day-to-day name in America. Clearly, they’re very cost focused, as you know, by way of what they do and how they do in their culture. So, it is a very important consideration in deciding View. With some of our other customers, in the past, people would be dismissive, saying, oh, they’re very wealthy tech company, they can, of course afford to be wasteful. In this particular case, if you look at what we do, we are highly sustainable, because we block the heat and provide comfort without having to have a big penalty on air conditioning and lighting. So clearly, if you’re building a comfortable space, it consumes less energy. We are a healthier amenity, in that we bring natural light and provide comfort and create views, and it has clear impact. And they obviously were aware of the research and the work we’ve done. We reduce peak load, and that has direct cost savings by itself. But, in this particular case, they went through an analysis of the space usability, within buildings. And what they’ve concluded is that use of View smart glass increases the amount of usable space, which means you can effectively put more people into a space, right? You can utilize the space all the way to the edge of the building. That incremental use of space and the cost of real estate for employee itself was a determinant for them to be able to afford it, and be able to underwrite it right at the get go from a capital point of view. Of course, it’s tech enabled. So, you -- the buildings are more future-proofed. Because, I think as with any company, there’s not a company you can find now that doesn’t want to be tech-enabled and digital and the future. They did have an eye towards what’s the future of work look like. But all of those were additional factors. For me, the Walmart campus represents kind of a mainstream adoption of our product. What it also represents is the scale of this campus. At 2.5 million feet, their main campus in Bentonville, it does signal to the world that this product is not a niche product. It’s going to be used at scale and big spaces.
Mark Delaney: That’s helpful. Thanks. The backlog was about $250 million in 2018. I think, it was about $400 million or maybe a little bit higher in 2019. And you compare it to revenue, last year, I think it was a little over $30 million. So, can you talk a little bit about the historical backlog conversion? Was there anything that Company had been experiencing in terms of projects pushing out or maybe backlog longer than one to two years? And that’s something we need to be mindful of. But more importantly, I’m just trying to better understand how to think about how backlog will convert into revenue going forward.
Dr. Rao Mulpuri: Yes. So, as you know, we provided our design win backlog of over $500 million at the end of last year. That backlog represents about 250 projects for which View Smart Windows are the basis of design. The design win backlog has been a useful indicator for the internal capacity planning, especially with long lead time pieces of equipment. However, given the long sales cycles of our industry, design win backlog is not an important indicator of the next 12-months revenue. So, we’re not providing a quarterly update on our backlog. With that being said, in Q1, we continued to grow our backlog as is evidenced by the big Walmart win and other wins that we’ve announced. And as you’ve heard from Vidul, we recognized revenue of $11.8 million and the design wins we had were substantially in excess of that. But, as we are now looking at more of a quarterly and annual view of the Company and as we’re communicating with the public markets, it’s only a sub-section of that that’s really a factor for us. And that’s more near term and that’s not just for design win backlog.
Mark Delaney: That’s helpful. And just lastly from me. Vidul, thank you for all of the commentary around margins and variable versus fixed costs. I think, it’s helpful for people to think through, including us, the margin trajectory for the Company. One of the things you talked about was improvements on cost structure with the Gen 4 product compared to Gen 3. And I don’t know if you can be more specific around cost savings specifically with the new products, maybe the year-over-year reduction you just reported. Is a good illustration of what we can extract with the Gen 4 product? But, any more details on how to think of the quantitative benefits of this new product would be helpful. Thank you.
Vidul Prakash: That’s a good question, Mark. Here is a way to think about it. Going forward, there will be a much, much higher mix of Gen 4 in 2021 and beyond, and there’ll be very little of Gen 3 product. So, that mix helps us. And the other way it helps us is that we’re not changing -- there’s no change in the manufacturing line, so shift between Gen 3 and Gen 4. And so, that helps you with one of a key metrics, which is equipment uptime. But, more importantly, a metric that we call, TAKT time, and that basically is how much time does a piece of glass spend in the plasma coater as it’s getting the 1 micrometer thickness that Rao mentioned. That time is much, much faster with our Gen 4 product, than it was for Gen 3 product. So, basically the same factory footprint, you get more glass travelling through the coater faster, and that improves our throughput as well, which is driven by equipment uptime, driven by a better TAKT time, we have much better utilization and lower cost driven by our Gen 4 product.
Dr. Rao Mulpuri: So, Mark, if I could add some context to all three factors that Vidul mentioned. And you should expect us to be thinking this way, going forward as well. Early on for the Company, it was about how do we build a minimum viable product? How do we get it out into the market? In the last four or five years, we’ve been thinking about not only how do we serve the user better? How do we ship on time? How do we make our customers, the real estate owners, the construction folks do it without a lot of hassle, how do we make the product easy to install, et cetera? But one of the things -- in Gen 4, we’ve been working on for five years, post R&D to implement into production. And we’ve been very thoughtful about every aspect of it, including cost. So, our cost, as you know, is impacted by how are we utilizing a factory, which is both, TAKT time as well as uptime; and then, what’s the yield of the product coming out. We have more time and energy put into Gen 4 and how we introduced it into production and ramped it up. And that’s what’s resulting lower costs. Fundamentally, the product is much superior. And it’s not unlike, as you know, the things we went through in the semiconductor industry where every generation, we get better at making the same thing.
Mark Delaney: Thank you.
Operator: Our next question comes from Joshua Cohen with Cantor Fitzgerald & Co. Please state your question.
Joshua Cohen: Hey. Good morning, everyone, and congrats on the strong quarter, and thanks for taking my questions. So, you mentioned, you’re currently hiring for new product development. So, just would be interested, from you Rao, would you be able to give us a preview for kind of what you’re excited about here? I know you’ve mentioned, View Connect, and 5G and Wi-Fi. But so, just curious to see like where your imagination is going and what you’re excited about on the new product development front? 
Dr. Rao Mulpuri: Yes, Josh, happy to. So, if you think about the big macro of what we’re serving, right? We’re trying to create a better user experience inside buildings. If you look at the new automobiles, right, they have screens, they have sensors, they have a number of processors doing different types of processing, there’s storage, there’s connectivity. People spend 5% of their time inside a car. They spend 90% of their time in a building. And you mostly bring technology in your pocket and in your briefcase, and it’s not infused in the building. We -- our network goes in very early in the building cycle. As you know, the way a building goes up is you prepare the land, you pour the foundation, typically, the steel structure goes up. And the next thing to go on it is the glass. And that comes in the form of unitized windows systems. Our wires go in right then. So, we’re there long before anybody’s thinking about network, and sometimes even the tenant is not even known. So, we have the ability to install the network that has all of the key elements of power and connectivity already in it that provide for the building to be future proofed or future ready, so that you can add additional applications on it. So, with that as a backdrop on the platform, we see broadly three areas of opportunity for building owners and people inside buildings and ultimately, the user of the building. The first is an area around collaboration. You have this surface of the building that’s the skin of the building from the inside that used to be a dead surface, and you covered it up with blinds and you lost the Views. Now, you not only have the Views, but it’s an active surface. Every square inch of the entire skin of the building is now digital. So, with that, now you put a transparent display that’s infused into the window. Well, it’s a window when you want it to be with, you don’t need to have any display. But, when you would like it, it turns into a high-definition display. You can do video conferencing on it. For example, in the reentry to office, a lot of our customers are saying, they don’t have enough wall space on which they can hang TVs in order to create that part of the team being at home and part of the team being in the office. So, there is an example of the future of the office, where there may be a huddle area around the edge of the building where a few engineers get together and they’re interacting with other engineers that are working from home that day. We’re clearly seeing an opportunity in public spaces, for example, at airports, where people check in, they go wait up the game for a long time, and their experience is a dead window wall with a small TV in the corner playing news. Well, now you have the entire fabric of the glass wall, which is two to three storeys high and you’ve got the ability to turn it into a digital fabric. You can of course entertain, you can provide messaging. And you can do contextual advertising. So, clearly, our customers in airports are super excited about the user experience, as well as the ability to generate revenue. Think about a hospital room and a patient experience. They’re on a bed, and they have bedside controls and a TV up on the wall and a corner. Instead, that patient can now be facing nature all the time and a big window in the room. And then, the display will appear when they want it. And the doctor can come in through the window or they can have video conferencing with their families. So, clearly, we see a huge opportunity for our display products. And in order for the display to work in a window, you need that dynamic tinting of the glass because you need the contrast and you need to protect that OLED from UV. So, for both those reasons, we’re quite excited about the opportunities in front of us. View Net is basically the basic platform. View Sense, it’s a complete ground up built environmental sensor that has a number of sub-sensors built in it. And those are there to provide context and insights for people that are managing buildings. But also importantly, as a user, if you want to know if the space around you is healthy, if you want to know what the density is, if you want to know where you’ve been, indoor way finding, indoor GPS, there’s a ton of applications that can be built on that platform. Finally, to your point about Connect. As you know, 5G or basically even 4G LTE almost dies at the skin of the building. And 5G does not enter a building through the glass, by way of the higher wavelength, and the fact that that signal doesn’t travel very long. We’re going to pick up the signal either on the roof or through the fiber in the basement. And we’re going to connect it back into a big network. And you can enjoy 5G connectivity coming right out of our product. To give you a context on where we are, we just started shipping these products. And DFW will be the first kind of more public visible display of this -- of all three products. But we have several other customers, tech companies and other segments where we are now shipping and we’ll be announcing these throughout the year and beyond. 
Joshua Cohen: Okay. That’s great. And then, just curious, whether you have any updates on your partnership with Newmark. I definitely appreciate that partnerships of this magnitude take time to get up and running. But just curious whether there’s anything incremental you can share, since the announcement? Thanks.
Dr. Rao Mulpuri: Yes. Thank you. So, Newmark, as you know, is one of the major commercial real estate brokerage companies in the country. What do commercial real estate brokers do, they help landlords, owners of buildings, sell real estate, finance real estate, lease real estate. So, they are a trusted partner to the owner of the building. So, in that context, when we partner with them, what you get is the access to the owners and have the ability to get introduced and have a seat at the table. And also, because they help lease buildings and create value for the owner, they’re also able to tell the View story from a value creation point of view, way better. And so, for all those reasons, we’re very excited about that partnership. That partnership has been put into operation. We have great sponsorship from Barry Gosin, CEO on down, and all our regional heads are working with regional folks with the Newmark. In addition to that, we’re also doing what’s called a co-broking concept, which means if it’s not Newmark on the building, and it happens to be CBRE, JLL or it is Cushman or someone else, Newmark and us, they’re going to partner with them, and share the economics of that.  So, it’s not meant to be we’re at only Newmark. So, we’re very excited about that. It helps us get access to owners we didn’t know. And it helps us close business in a very unique way that we wouldn’t have been able to otherwise. And we are at very early stages of this industry transformation. So, having them as a partner is being very, very helpful.
Operator: Our next question comes from [indiscernible] with Raymond James.
Unidentified Analyst: A lot of conversations recently across the technology sector about commodity input inflation and of course your purchasing glass among other components. What sources of input cost pressure are you seeing, and how are you managing around this issue?
Dr. Rao Mulpuri: We’re obviously watching most importantly for the availability of things. And we feel very good about supply chain in all of the areas, including semiconductors, I know where there’s been a lot of excitement lately. I come from that industry. And we feel good about our ability to manage our supply chain and have good partnerships with our suppliers as we look to grow on a fairly steep growth path forward. Obviously, part of that is to make sure that we’re getting good value for what we’re purchasing. In many ways, we’re actually getting reduction of cost per unit with our volume growth. And our suppliers see that this is a strategic growth area for all of them. So, we actually have a fairly healthy spirit of partnership from them in seeing beyond just what’s happening in a given month or quarter, because at this moment, we may not be as material to their own businesses, which strategically their extremely important businesses or at least they are acting as such. So, given that -- we feel good about access to supply. And number two, we’re not seeing as directly the impact of these commodity issues to our own business. And as you know, as a value added player with a high gross margin and our gross margin profile, we’re not as susceptible to supply chain cost changes, because the basic material input in our COGS is fairly small. So, for all those reasons, the cost impacts of our supply chain are minimal to us. But on the same hand, we’re keenly focused on making sure that we have continued access to supply as we go at this very high pace.
Unidentified Analyst: Good to hear. Thinking more broadly, you’ve talked before about diversifying your customer base into single family residential. Any kind of update on that, maybe anticipated timetable for moving forward with that strategy?
Dr. Rao Mulpuri: Yes. Good question. I would say growth area for us on residential today is multifamily. And there’s a ton of multifamily. And as you know, it’s a single decision made for the whole building by a developer typically. And they have a lot of glass. The way we are currently organized in terms of our sales and our support infrastructure, we are well-suited to do large buildings with lots of glass and single point of sale that results in a relatively large dollar item. In the future, you can anticipate this product can and should be in single family residential. Well, we have done some single family just as really favors for friends and family. We’ve done a few dozen homes already, fairly large contemporary homes. We do believe we need to have some evolution in our own ability to support that as a business, before we launch that as an official business review. Having said that, the part of the reason we are not going there is we don’t need to go there, right. We can definitely enjoy a very high level of growth in the segments we’re already in. So, we’re trying to be disciplined with the verticals we’ve already opened, to make sure that we serve those verticals very, very, very well. So, that’s three verys, to make sure that we get repeat business from those customers that have huge portfolios of new build and renovations, but also use their networks and that localization in order to get their peers and competitors to adopt our product. So, you should anticipate that in the future, we will be getting into single family. We’re not jumping into this headfirst, because we see plenty of opportunity in the segments we’re already in. And, we’ll make sure that when we do that we’re doing it in a way that we can support those customers well and build a highly profitable business in that segment.
Unidentified Analyst: Right. And last question kind of similar to my earlier one but thinking about international. You’ve talked about $120 billion North American addressable market but it’s 10x if we think globally. And of course high rise construction is particularly rapid in Asia right now. Any thinking about starting to talk to prospective customers outside of North America?
Dr. Rao Mulpuri: Yes. We are doing some business outside of North America, Europe, Asia, Middle East. That business has been primarily -- we have small team perusing that, has been primarily with the customers we already have relationships here in North America and they want to make sure use us on their global footprint. We think that’s an efficient way for us to engage and to get into new markets with people we already have relationships with and they already know who we are and we have existing relationships, and in some ways we’re supporting their growth globally with great amenity for themselves and their employees or their portfolios. As far as building our big infrastructure to sell internationally, that is in front of us. We’re not doing that at the moment, only because we wanted to make sure that we take our North American market to a level where we can achieve scale, profitability and support our customers well on our product offerings. So, you will see us growing incrementally internationally. We’re not making any big announcements at the moment. But, I think in the near-term, you should anticipate that that will still be a small part of our business.
Operator: There are no further questions at this time. I’ll turn it back to Dr. Rao Mulpuri, Chairman and CEO of View. Thanks.
Dr. Rao Mulpuri: Thank you everyone for attending our first quarter conference call. We are excited about the journey ahead, and look forward to speaking with everyone as we provide an update on the business next quarter. Thank you.
Operator: Thank you. This concludes today’s conference. All parties may disconnect. Have a good day.